Yoshimichi Maruyama: Greetings, everyone. My name is Maruyama, Director and Managing Executive Officer at Seven & i Holdings. Thank you for taking the time off your busy schedules to participate in today's presentation for the first quarter of fiscal year 2022. Today's agenda covers the results for the first quarter of fiscal year 2022 and the revision of the full year forecast. Please turn to Page 4. Before discussing the results, I will be going over the Seven & i Group's view of the management environment we currently find ourselves in. The graphs shown here represent a variety of indicators pertaining to our operations in Japan and the United States, covering the period between January 2021 and May 2022. The CPI, both in Japan and in the United States is on a rising trend due to global inflation, especially in the U.S., which is seeing the highest inflation levels in approximately 40 years. This has led to rising prices for a variety of raw materials and ingredients. Starting in 2022, the price of crude oil has risen significantly in part due to geopolitical risk. This, in conjunction with rising transportation and shipping costs, has translated into surging electricity costs in Japan and represents a significant factor behind growing operating costs. Additionally, in Japan, a recovery in economic activity resulting from a slowdown in COVID-19 cases has translated into an increase in the number of job openings. Labor shortages are being felt more acutely in the U.S., too, and this is a factor leading to higher personnel costs. Regarding foreign exchange, in June, the Japanese yen had weakened to a 24-year low, and this had both a positive and negative impact on the company's consolidated results. Lastly, starting in 2022, the FRB's hawkish interest rate policy has led to a rapid interest rate increase in Japan as well, while the Bank of Japan continues to maintain its quantitative easing policy, the trend is also toward an interest rate hike. As such, there is a need to keep a close eye on the impact of these policies on the economy. As such, we believe the outlook remains significantly opaque as we are currently facing an extremely challenging business environment, including geopolitical risk. I will, therefore, be discussing the results for the first quarter and the full year forecasts bearing in mind that they exist against the backdrop of this uncertainty. Please turn to Page 5. Against the backdrop of the management environment I mentioned just now, we seek to minimize these impacts by executing measures at each of the companies that comprise the Seven & i Group. We will carry out measures to secure and improve GPM by changing the merchandise standard through quality improvements and offering higher added value through food preparation carried out in store. These include setting appropriate prices. Additionally, we are carrying out measures to minimize the impact of cost increases, especially electricity costs. To this end, we seek to improve SG&A efficiency by reforming costs and improving productivity. At 7-Eleven, Inc., we saw an increase in SG&A in part due to the acquisition of Speedway. So we newly established a cost leadership committee in order to reduce these to adequate levels. We are currently working toward this goal. Starting on Page 6, I will be going over the results for the first quarter of fiscal year 2022, starting with the consolidated results highlights. Additionally, starting in the current fiscal year, the consolidated results are based on figures after applying the new accounting standard for revenue recognition. However, we have included here revenues from operations calculated using the previous standard for reference purposes and shown on the table as gross revenues from operations. Regarding the consolidated results for the first quarter, the integration of revenue from Speedway allowed us to offset a negative impact to revenues from operations resulting from the adoption of the new revenue recognition standard. We were, therefore, able to deliver a year-on-year increase in revenues and profits. Revenues from operations for the first quarter stood at [¥2,447.3] billion, for a year-on-year increase of 57.3% and an overperformance of 6.0% compared to the plan. Operating income stood at ¥102.3 billion, for a year-on-year increase of 32.1% and an overperformance of 13.9% compared to the plan. Net income attributable to owners of parent stood at ¥65 billion, partly thanks to a decrease in special losses. This was a year-on-year increase of 51.2% and an overperformance of 26.0% versus the plan. This was a significant improvement. EBITDA stood at ¥214.4 billion, also growing year-on-year by 47.2%. On Page 7, I will be discussing the results by segment for revenues from operations and operating income. Additionally, year-on-year difference amounts correspond to the difference between figures for the current fiscal year based on the new accounting standard for revenue recognition and the figures for last fiscal year based on the previous standard. On Page 31 in the appendix, we have included a version of this comparison for the metric of revenues from operations, which was particularly impacted by the change using the previous standard for both fiscal years. We welcome you to refer to this comparison. Revenues from operations increased significantly, thanks to higher revenues in the Overseas Convenience Store operations derived from an increase from the integration of Speedway and an increase in merchandise and fuel sales at existing premerger 7-Eleven, Inc. stores. Additionally, revenues from operations decreased for the Domestic Convenience Store and Department and Specialty Store operations, resulting from the adoption of the new accounting standard for revenue recognition. However, revenues from operations actually increased for these two operations when calculated using the previous standard. In terms of operating income, we faced a challenging business environment, especially centered around our domestic operations against the backdrop of a global surge in the price of raw materials and ingredients and energy costs. On the other hand, the Overseas Convenience Store operations drove growth for a consolidated increase in operating income of ¥24.8 billion to ¥102.3 billion. I would now like to go over the results on a per segment basis, starting with Domestic Convenience Store operations on Page 8. Revenues from operations stood at ¥215.2 billion, corresponding to 98.9% of the results for the same period last fiscal year. Operating income stood at ¥59.2 billion, corresponding to 97.9% of the results for the same period last fiscal year. EBITDA stood at ¥80.2 billion corresponding to 100.4% of the results for the same period last fiscal year. Domestic Convenience Store operations were also negatively impacted by the adoption of the new accounting standard for revenue recognition and an increase in energy costs exceeding our estimates. While these resulted in a decrease in both revenues and income, both delivered an overperformance compared to the plan. Please turn to Page 9, where I will be discussing the results for Seven-Eleven Japan, the major operating company in the Domestic Convenience Store operations. The graph on the left shows the trend in existing store sales growth and change in GPM. As I mentioned at the beginning, while we faced a challenging business environment in Japan, resulting from rising raw material and ingredient prices, the fair initiative we started in January and continue to carry out on a sustained basis and merchandise renewals through quality improvements allowed us to deliver existing store sales growth, GPM 2 improved by 0.1 percentage points in the first quarter. Additionally, as shown on the graph on the right, these initiatives towards the acquisition of new customers have borne fruit with average spending per customer continuing on a rising trend. While the number of customers itself is on a recovery trend surpassing last year's levels in the month of May. In light of this, existing store sales in the first quarter stood at 101.7% of the results for the same period last fiscal year compared to the results for fiscal year 2019 before the COVID-19 pandemic results stood at 100.2%. Going forward, we intend to continue offering customers high-quality merchandise and services and carry out initiatives giving customers a sense of excitement. Please turn to Page 10. The graph on the left shows the trend in year-on-year change in SG&A for the first quarter. In the first quarter, we registered a significant increase in utility expenses, especially electricity costs. On the other hand, the adoption of the new accounting standard for revenue recognition translated into a decrease in advertising expenses. As such, overall SG&A expenses stood at 99.4% of the results for the same period last fiscal year. However, as shown by the dotted line, when calculated using the previous standard, SG&A stood at 104%, primarily due to the increase in utility expenses. We were, therefore, faced with a challenging business environment. Moving on to the waterfall chart on the right, revenues had a negative impact of ¥1.7 billion on operating income while SG&A expenses had a positive impact of [¥850 million]. This resulted primarily from the adoption of the new accounting standard for revenue recognition as expenses associated with loyalty reward points were previously recorded within SG&A and are now subtracted from revenues. We were faced with a challenging business environment resulting from surging expenses associated with raw materials and ingredients and utility expenses, among other factors. However, we succeeded in delivering a steady increase in existing store sales and GPM improvements, recording a slight year-on-year operating income decrease of ¥730 million in the first quarter. Operating income, therefore, stood at ¥59.6 billion, for an overperformance compared to the plan. EBITDA stood at ¥80.2 billion corresponding to 101.1% of the same period last fiscal year or an increase of ¥840 million. Please turn to Page 11, which discusses the fair initiative started in January of this year by Seven-Eleven Japan, with the objective of driving customer footfall to stores, the renewal of existing merchandise through quality improvements carried out between March and May and the enhancement and further differentiation of fresh food merchandise. Starting in January, we have carried out 8 such fairs. These fairs are promoted as special events with the release of high-value-added merchandise, for example, in collaboration with famous stores and restaurants, franchisees now have a clear idea of what merchandise to promote in store, and this has led to improved motivation on the part of franchisees leading to the emergence of a positive feedback loop characterized by an improvement in customer footfall. Additionally, in light of the recent surge in raw material and ingredient prices, we have been reviewing the ingredients used in existing merchandise increasing quality, while at the same time, carrying out price revisions. In addition to enhancing fast food, which boasts a comparatively higher GPM, this has also contributed to an improvement in GPM. On the next page, I will be discussing the results of these initiatives. Please turn to Page 12. Amid surging raw material and ingredient prices, we have been working together with manufacturers of delicatessen and carrying out to the renewal of merchandise characterized by quality improvements. Allow me to discuss a concrete example using the merchandise category of sandwiches. Every year, we review the ingredient composition and manufacturing process of 7-Eleven sandwiches and continue to deliver quality improvements. However, this year, we carried out a full review covering the bread dough used in our sandwiches, the fillings and the packaging to revamp these in terms of texture, taste and brand image. We started rolling out these merchandise renewals on March 2, 2022, accompanied by price revisions of between approximately 5% and 12%. As shown by the orange line, this translated into an increase in the year-on-year average unit sales price and a rising trend in the year-on-year average sales volume as shown by the green line. As such, in May, these levels exceeded the results for the same period in the previous fiscal year. This resulted in year-on-year GPM growth as shown by the red line. Against the challenging backdrop of surging raw material and ingredient prices, we believe this to be a good example of a situation in which we were able to secure adequate GPM levels, while at the same time, obtaining a positive response from customers. Additionally, we released a rice bowl with beef curry sauce merchandise retailing for over ¥800, including tax within the category of chilled boxed lunches released alongside our fair initiatives. This release has been well received. In addition to this, we have also released merchandise with a special focus on quality within the categories of salads and SEVEN CAFÉ. Going forward, we will continue to seek to develop and deliver high value-added merchandise and set appropriate prices, allowing us to increase both unit sales price and volume and secure high GPM. Through this, we seek to improve profitability. Please turn to Page 13, which deals with the Overseas Convenience Store operations. Revenues from operations stood at [¥1,723.8 billion,] corresponding to 253.8% of the results for the same period last fiscal year. Operating income stood at ¥43.9 billion, corresponding to 362.4% of the results for the same period last fiscal year. EBITDA stood at ¥109.7 billion, corresponding to 273.0% of the results for the same period last fiscal year. Furthermore, on a U.S. dollar basis, excluding foreign exchange impacts, revenues from operations stood at $14.817 billion, corresponding to 231.4% of the results for the same period last fiscal year. Operating income stood at $378 million, corresponding to 330.5% of the results for the same period last fiscal year. EBITDA stood at $943 million, corresponding to 248.9% of the results for the same period last fiscal year. As you can see, all line items delivered a significant increase. Please turn to Page 14. The graph on the left shows the trend in existing store sales growth and change in GPM. In the United States, an acceleration in the rate of inflation has translated into surging prices for a variety of merchandise leading to a change in consumer psychology in terms of purchases. In terms of the way consumers view Convenience store merchandise as well, the trend is toward prices reflecting merchandise quality. As such, at 7-Eleven, Inc., we have been making progress in the execution of initiatives pertaining to fresh food and enhancing private brand merchandise initiatives we had started executing in the past already. These efforts translated into strong existing store sales growth of 5.7% year-on-year in the first quarter. However, starting in April, consumers started gradually adopting a more conservative approach in terms of everyday spending. And this has led to a slowdown in growth. As such, we believe we need to keep a close eye on this trend going forward. Additionally, GPM decreased by 1.2 percentage points year-on-year in the first quarter, primarily on account of 2 factors. The first is the impact of Speedway stores on GPM, which is lower compared to GPM at existing premerger 7-Eleven, Inc. stores. This, therefore, was a factor pushing down overall GPM. However, up until now, the GPM for existing premerger 7-Eleven, Inc. stores was high as the result of a reactionary increase following a worsening in GPM in 2020 due to COVID-19. Because of this, these 2 factors canceled each other out. This reactionary increase was no longer present starting in March of this year, giving precedence to the aforementioned GPM decrease factors. With that being said, we expect this trend to alleviate starting in the month of June as the impact of year-on-year comparison wears off. Furthermore, as a significant initiative within the PMI process, we are working to make changes to the purchase and stock of merchandise at Speedway stores from a push system into a pull inventory control system like the one used at 7-Eleven, Inc. However, in light of performance results, we made the management's decision of advancing this transition all at once starting from March onward, even if it meant to pulling costs forward, this, therefore, had an impact. Regarding this initiative as well, it is nearing completion. So we are confident we will be seeing an improvement going forward. Additionally, GPM has improved at existing premerger 7-Eleven, Inc. stores. And additionally, in light of results from progress in the PMI process, among other factors, in the second quarter and beyond, we expect a gradual recovery going forward. As such, we assure stakeholders that there is no reason for concern. Furthermore, as shown on the graph on the right, both the number of customers and average spending per customer are delivering a year-on-year increase. Page 15 deals with the topic of fuel. The graph on the left shows the trend in crude oil price. While the graph on the right shows the fuel sales volume growth per store and the year-on-year change in cents per gallon, which measures fuel GPM. Crude oil continues trading at historically elevated levels. However, cents per gallon remains at elevated levels, allowing us to deliver a first quarter fuel GPM year-on-year increase of $876 million. This represents a significant increase. Please turn to Page 16. In light of these factors, first quarter operating income for 7-Eleven, Inc. increased by ¥50.1 billion year-on-year, primarily due to the integration of Speedway and an improvement in fuel GPM. Operating income, therefore, stood at ¥67.8 billion. Additionally, EBITDA stood at ¥108.8 billion, corresponding to 275.4% of the results for the same period last fiscal year for a variance of positive ¥69.3 billion. Additionally, on a U.S. dollar basis, EBITDA stood at $935 million corresponding to 251.1% of the results for the same period last fiscal year for a variance of positive $562 million. Page 17 contains an outline of cost structure reform initiatives. Also in light of a cost increase resulting from the integration of Speedway, we established a cost leadership committee, CLC, at 7-Eleven, Inc. This was done with the objective of building an adequate decision-making framework as it pertains to expenditures at 7-Eleven, Inc. and reforming attitudes pertaining to internal cost management. Through these, we seek to realize sustainable cost efficiency improvements with the aim of improving profitability. I would now like to discuss the outline of the CLC. The CFO of 7-Eleven, Inc. is the Head of the CLC and the CLC was established with a mission of approving and reviewing almost all expenditures, carrying out the centralized management of all contracts and the planning and review of sourcing strategies. We have already started the careful examination of expenditure items from major categories, with the CLC delivering cost reduction proposals to each department in charge after which negotiations have started taking place. Additionally, we are also carrying out initiatives to reduce overlapping layers and roles, which resulted from the integration of Speedway. By the end of 2022, we expect to have completed approximately 60% of this process. Furthermore, regarding reverse synergies resulting from Speedway, we are expanding in-house store maintenance in order to reduce costs. We intend to expand this to 1,600 stores in 2022, further expanding these positive effects. We view this cost improvement at 7-Eleven, Inc. as a high priority management issue and will therefore be accelerating initiatives toward its execution primarily through the CLC. I would like to discuss the results of these efforts separately. Next is Page 18, which contains a progress report regarding the unlocking of projected synergies with Speedway. We realized $131 million in synergies in the first quarter for an overperformance of $56.5 million compared to the plan. The introduction of 7-Eleven Inc. merchandise is the most significant synergy item, and we are making steady progress in its execution. Allow me to discuss a number of examples. We have already completed the introduction of over 250 SKUs of private brand merchandise, which corresponds to approximately 34% of newly added items overall. Additionally, sales area optimization for alcoholic and nonalcoholic beverages at all eligible stores was completed in the second quarter. Furthermore, we newly introduced a grill assortment, which was well received by 7-Eleven consumers to approximately 2,500 stores and also completed the introduction of Slurpee at all stores. As such, we are making steady progress toward achieving our synergy target of $450 million for fiscal year 2022, and we'll continue carrying out initiatives to this end going forward. Page 19 deals with the Superstore operations. Revenues from operations stood at ¥355.7 billion, corresponding to 78.8% of the results for the same period last fiscal year. Gross revenues from operations calculated according to the previous accounting standard for revenue recognition stood at ¥439.6 billion, corresponding to 97.3% of the results for the same period last fiscal year. Operating income stood at ¥3.5 billion, corresponding to 60.2% of the results for the same period last fiscal year. Lastly, EBITDA stood at ¥12.7 billion, corresponding to 94.2% of the results for the same period last fiscal year. The waterfall chart on Page 20 shows the year-on-year change factors for operating income for the major operating companies that comprise our Superstore operations. At Ito-Yokado, while existing store sales growth, including tenants increased by 2.2%, surging prices for raw materials and ingredients had a negative impact on GPM, especially in the category of food. Regarding SG&A expenses, while we faced a challenging environment characterized by higher electricity prices, we carried out efficiency improvements and ultimately, IY made a positive contribution to operating income of ¥110 million. Against the backdrop of the COVID-19 pandemic, our food supermarkets delivered a strong performance in fiscal years 2020 and 2021. We now saw a reactionary decrease following this strong performance with a challenging situation in terms of revenues and GPM. While we made progress in optimizing SG&A, we still recorded a decrease in profits. Furthermore, the adoption of the new accounting standard for revenue recognition means the timing of the booking of gains from lapsed reward points differs on a consolidated and nonconsolidated basis. As such, in the first quarter, this translated into a negative impact on operating income of ¥1 billion on a consolidated basis. With that being said, this variance evens out on a full year basis. Please turn to Page 21, which deals with the Department and Specialty Store operations. Revenues from operations stood at ¥112.9 billion, corresponding to 67.8% of the results for the same period last fiscal year. Gross revenues from operations calculated according to the previous accounting standard for revenue recognition stood at ¥188.4 billion, corresponding to 113.1% of the results for the same period last fiscal year. Operating income stood at ¥1.0 billion for a year-on-year increase of ¥4.5 billion. Lastly, EBITDA stood at ¥4.7 billion for a year-on-year increase of ¥4.5 billion. The waterfall chart on Page 22 shows the year-on-year change factors for operating income for the major operating companies that comprise the Department and Specialty Store operations. In fiscal year 2022, the major companies that comprise these operations were, for the most part, able to operate without being affected by COVID-19 related restrictions. We were also able to offer merchandise and services adapted to changes in consumer needs. And together with the positive impact to help cost structure reform, this allowed us to increase profits at each operating company. Ultimately, this translated into a year-on-year increase in operating income of ¥4.5 billion for the segment as a whole. Operating income stood at ¥1 billion in the black. Next, I will be discussing the revision of the full year forecast for fiscal year 2022. Please turn to Page 24. First, I will be discussing the contents of the revision to the full year forecast. Up until now, the Seven & i Group already reviewed its forecasts on the basis of the trend in quarterly results and in accordance with changes in the internal and external environments. In the current fiscal year, despite a challenging environment of surging energy and raw material and ingredient costs, we have been delivering a strong performance, especially in the Convenience store operations in Japan and the U.S. The exchange rate has moved significantly towards a weaker yen since the time we formulated the initial forecasts. And so have energy costs increased. In light of this, we have revised the forecasts in order to reflect these changes. Starting with the exchange rate, the initial assumption was of an exchange rate of ¥114 per U.S. dollar. The average exchange rate in the first quarter came to ¥116.34 per U.S. dollar. Additionally, the average from January 1 to June 30, 2022, came to ¥123.14 per U.S. dollar. In light of this and of recent levels, we have revised the underlying exchange assumption for the full year forecast to ¥127 per U.S. dollar. For the Chinese Yuan as well, we have revised the forecast assumption from ¥16 per CNY 1 to ¥19 per CNY 1. Overall, revisions to the exchange rate are expected to have a positive impact of ¥24.5 billion on operating income. Next is the impact of surging energy costs. Even within the initial forecasts, we were already expecting a negative impact from an increase in fuel cost adjustment charges. However, the realized cost came in above the forecast. We assume this situation will continue with the future. As such, in light of an expected further increase in fuel cost adjustment charges and a resulting increase in utility expenses at major operating companies, we forecast this to have a negative impact on operating income of ¥9.5 billion starting in the second quarter. Furthermore, while operating income results exceeded first quarter forecasts by ¥12.4 billion, a number of uncertainties remain in play, both in Japan and overseas. So as it stands, the forecasts for each operating company remain unchanged. We will be keeping a close eye on developments going forward and continue to review our forecasts on a quarterly basis as we have done up until now. Next, please turn to Page 25. This page contains a progress update on the eliminations and corporate expenses plan for fiscal year 2022, which was discussed at the time of the financial results presentation for fiscal year 2021. It also contains the revision to this plan. Realized expenses associated with the DX, System, Security systems, et cetera, stood at ¥11.4 billion in the first quarter, a decrease in expenses of ¥1.3 billion compared to the plan. This resulted from a final breakdown of operational expenses associated with each of our various measures and the review and change of the timing of execution of some system measures. Regarding the item of Others as well, an enhancement of expense management functions and variance in the timing of expenses led to a decrease in expenses of ¥2.6 billion compared to the plan for the first quarter. As a result, eliminations and corporate expenses in the first quarter stood at minus ¥14.6 billion for a decrease in expenses of ¥3.8 billion compared to the plan. Regarding the full year forecasts, we will be recording in eliminations and corporate expenses, the aforementioned estimate of ¥9.5 billion, corresponding to an increase in energy costs. As such, the full year forecast for eliminations and corporate expenses now stands at negative ¥86.8 billion from the previous forecast of negative ¥77.3 billion. In light of these factors, Page 26 contains an outline of the revised consolidated forecasts for fiscal year 2022. We raised the guidance for revenues from operations by ¥760 billion to [¥10,413 billion]. We raised guidance for operating income by ¥15 billion to ¥445 billion and net income attributable to owners of parent by ¥7 billion to ¥247 billion. As I mentioned earlier, going forward, we will continue to review company forecasts on the basis of the trend in quarterly results and changes in internal and external factors. This concludes my presentation. Thank you for your time.